Operator: Good morning, and welcome to Erie Indemnity Company Third Quarter 2022 Earnings Conference Call. This call was prerecorded, and there will be no questions-and-answer session following the recording.  Now I'd like to introduce your host of the call today, Vice President, Investor Relations, Scott Beilharz. Your line is open.
Scott Beilharz: Thank you, and welcome, everyone. We appreciate you joining us for this recorded discussion about our third quarter results. This recording will include remarks from Tim NeCastro, President and Chief Executive Officer; and Greg Gutting, Executive Vice President and Chief Financial Officer. Our earnings release and financial supplement were issued yesterday afternoon after the market closed and are available within the Investor Relations section of our website, erieinsurance.com.  Before we begin, I would like to remind everyone that today's discussion may contain forward-looking remarks that reflect the company's current views about future events. These remarks are based on assumptions subject to known and unexpected risks and uncertainties. These risks and uncertainties may cause results to differ materially from those described in these remarks. For information on important factors that may cause these differences, please see the safe harbor statements in our Form 10-Q filing with the SEC dated October 27, 2022 and in the related press release.  This prerecorded call is the property of the Erie Indemnity Company. It may not be reproduced or rebroadcast by any other party without the prior written consent of the Erie Indemnity Company.  With that, we will move on to Tim's remarks. Tim?
Timothy NeCastro: Thanks, Scott, and thanks to all of you for taking the time to learn more about Erie's performance in the third quarter of 2022.  As we move into the last few months of the year, I'm excited to be doing so with more employees working and collaborating in our offices with many of our long-standing in-person events back in place. Nearly 70% of employees in position who've worked on-site before the pandemic have now returned to our offices, and those returns will continue into next year. Like many other companies, we're taking a hybrid approach, balancing the flexibility our employees have come to value over the past couple of years with the needs of our business and relationship-based culture.  The past few months also saw the return of many of the celebrations and gatherings that are so important to us at Erie. Events like our annual branch meetings to recognize our independent agents, service anniversary celebrations to honor our long-tenured employees and summer picnics to connect with colleagues were all resumed after more than 2 years of cancellations and shifts to virtual formats. We are also excited to introduce our inaugural Diversity Summit held in September, a week-long event featuring guest speakers, interactive sessions and live panel discussions all designed to further engage employees and agents in our journey to integrate diversity, equity and inclusion into how we operate.  The Diversity Summit was a milestone in a year of significant progress, which included naming the company's first Vice President of Diversity, Equity and Inclusion. Lance Hyde brings more than 16 years of experience in diversity and inclusion practices, including supplier diversity and sustainability initiatives. He served as Director of Global Inclusion and Diversity at Koppers in Pittsburgh. Under the leadership of Lance and our Chief Diversity and Community Development Officer, Chris Marsh, we've moved into a phase of action, accountability and deepening of our commitment to making diversity, equity and inclusion operational at Erie.  Now let's turn to our third quarter financial results. We're with the rest of our industry and many others in facing continued challenges created by the inflationary environment. The combined ratio of 113.1% for the year reflects both high claims severity to declining repair and replacement costs for auto and property claims and an increase in weather-related losses. Weather event-related claims for the end of September were up 42% over last year and contributed 8.2% to the combined ratio.  On the positive side, we continue to also see an upward trend in premium, which grew 9.4% for the quarter and is up 8.4% for the year. Overall policies in force are up 3.3% and our retention rate remains strong and over 90% for personal and commercial lines combined. Along with that, our policyholder surplus stands at almost $10.2 billion, allowing us to maintain our steady-as-we-go approach to pricing and profitability.  With that, I'll turn it over to Greg for a deeper review of our financials. Greg?
Gregory Gutting: Thanks, Tim. Good morning, everyone. Thank you for taking time today to be a part of the Erie Indemnity Company third quarter earnings call.  2022 has been difficult. Growing inflation, coupled with unfavorable market conditions, has challenged not only our business but the insurance sector as a whole. Erie is not immune to these factors, but our tried and true business model continues to provide successful results as we face these challenges head on.  I will begin my review with the results for the Exchange, the insurance operations we manage. Direct written premium growth for the third quarter was 9.4%, driven by substantial growth in new business premium, which climbed almost 21% over the prior year. With a combined ratio for the quarter of 111.9% and continued market volatility, the Exchange's policyholder surplus decreased to $10.2 billion, down $400 million [indiscernible]. Now shifting to Indemnity. In the third quarter, Indemnity generated net income of $84 million or $1.61 per diluted share compared to $90 million or $1.72 per diluted share in the third quarter of 2021. For the 9 months ended September 30, 2022, net income was $233 million or $4.46 per diluted share compared to $243 million or $4.64 per diluted share in the same period in 2021.  Operating income increased 12% or $11 million in the third quarter of 2022 compared to the third quarter of 2021. Indemnity also saw an increase in operating income of 15% or $39 million for the first 9 months of 2022 compared to the same period last year.  Indemnity's management fee revenue for policy issuance and renewal services increased $47 million or 9.3% in the third quarter of 2022 compared to the third quarter of 2021. For the first 3 quarters of 2022, Indemnity saw an increase of $121 million or 8.3% compared to the same period in 2021. Management fee revenue allocated to administrative services increased $200,000 in the third quarter but decreased $500,000 in the 3 quarters of 2022 compared to the same period last year.  Turning to Indemnity's cost of operations for policy issuance and renewal services. Commissions increased $22 million in the third quarter and $56 million in the first 3 quarters of 2022 compared to the same period in 2021. The increases in agent compensation in both periods was driven by increases in the direct and assumed written premiums of the Exchange, partially offset by a decrease in agent incentive compensation.  Noncommission expense increased $14 million in the third quarter of 2022 compared to the third quarter of 2021. Underwriting and policy processing expense increased $3 million, primarily due to increased postage and underwriting report costs. Information technology costs increased $4 million driven by increased professional fees and hardware and software costs, partially offset by decreased personnel costs. Also, administrative and other expenses increased $6 million in the third quarter of 2022 compared to the same period in 2021, driven by increased personnel costs related to compensation and increased professional fees.  For the first 9 months of 2022, Indemnity saw an increase in noncommission expenses of $28 million, driven by increases in underwriting and policy processing costs of $3 million, information technology costs of $8 million, sales and advertising costs of $3 million and administrative and other costs of $15 million compared to the same period in 2021.  Investment losses before taxes totaled $1 million in the third quarter, and income from investments before taxes totaled $300,000 year-to-date 2022. The results were primarily driven by equity and losses of limited partnerships of $5 million and $2 million in the third quarter and first 9 months of 2022 compared to limited partnership earnings of $12 million in the third quarter and $27 million for the first 9 months of 2021. I will remind you that limited partnership asset class is in runoff, and we continue to expect more limited and inconsistent earnings from this asset class in the future.  Investment income was also negatively impacted by realized and unrealized losses of $24 million for the first 9 months of 2022 compared to gains of $5 million for the same period last year. As always, we take a very measured approach to our capital management and we maintain a strong balance sheet, and for the first 9 months of 2022, our financial performance has enabled us to pay our shareholders over $155 million in dividends.  Thank you again for your time today. Now I'll turn the call back over to Tim. Tim?
Timothy NeCastro: Thanks, Greg. At Erie, we've always had a strong culture of innovation, one that goes back nearly 100 years. Erie Insurance began from a prospectus written on a 10-cent tablet. And our founders, H.O. Hirt and OG. Crawford, hit the street to raise more than $30,000 over 3 months from 90 different investors. That forward-looking spirit endures. Today, it's represented by a slate of efforts aimed at generating new revenue opportunities in a dynamic marketplace.  In recent years, we've invested in promising businesses through both opportunities on funding in Erie Pittsburgh and Baltimore and in early-stage tech companies through our next-level innovation efforts. And in August, we announced the launch of an exciting new investment fund, Erie Strategic Ventures, as our new corporate venture capital investment arm. The focus of the fund will be on businesses tied to the personal and commercial insurance value chain as well as natural adjacencies. This could include companies that are innovating in areas like risk avoidance, claims or digital sales.  The goal is to make will enhance Erie's existing value proposition, support our independent agents and allow Erie to explore new growth opportunities that complement our business model.  We're partnering with Touchdown Ventures, an experienced corporate venture capital firm, to strategize and manage these investments. We're looking forward to building on our innovation efforts with the launch of this venture fund and to do so in a way that aligns with our values and our dedication to service.  Before we close, I'd like to make note of a few third-party recognitions. Two of those recognitions came from Forbes. Erie was named to its list of America's Best-in-State Employers for 2022 and America's Best Insurance Companies for 2023. The Best-in-State Employers list is based on recommendations from employees who are asked to rate their willingness to recommend their employers to friends and family. Erie is ranked among the top 25 employers in Pennsylvania on that list. The Best Insurance Companies list recognized Erie as an industry leader in 5 product categories: auto, homeowners, renters, term life and permanent life.  And for the second consecutive year, Erie's Future Focus internship program was named to the Rising Insurance Star Executive list of the insurance industry's 50 best internship programs in 2022. The Future Focus program is one of our largest pipelines for early career talent and growing diversity within our talent pool. Erie hosted more than 100 interns in 2022, the largest class 20-year history. As we continue to face a competitive labor market, programs like this one are critical to our talent strategy to maintain and build a robust and diverse workforce at Erie.  As always, I'd like to express my gratitude to our employees and agents for their commitment to being above all in service and to our shareholders for their continued support and trust. Thank you all for listening in today and for your interest and investment at Erie.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.
End of Q&A: